Operator: Good day, ladies and gentlemen, and welcome to the Third Quarter 2025 Hess Midstream Conference Call. My name is Gigi, and I'll be your operator for today. [Operator Instructions]. Please be advised that today's conference is being recorded for replay purposes. I would now like to turn the conference over to Jennifer Gordon, Vice President of Investor Relations. Please proceed.
Jennifer Gordon: Thank you, Gigi. Good morning, everyone, and thank you for participating in our third quarter earnings conference call. Our earnings release was issued this morning and appears on our website, hessmidstream.com. Today's conference call contains projections and other forward-looking statements within the meaning of the federal securities laws. These statements are subject to known and unknown risks and uncertainties that may cause actual results to differ from those expressed or implied in such statements. These risks include those set forth in the Risk Factors section of Hess Midstream's filings with the SEC. Also on today's conference call, we may discuss certain GAAP financial measures. A reconciliation of the differences between these non-GAAP financial measures and the most directly comparable GAAP financial measures can be found in the earnings release. With me today are Jonathan Stein, Chief Executive Officer; and Mike Chadwick, Chief Financial Officer. I'll now turn the call over to Jonathan Stein.
Jonathan Stein: Thanks, Jennifer. Welcome, everyone, to our third quarter 2025 earnings call. Today, I have some brief opening comments and will review our operations, and then I'll hand the call over to Mike to review our financials. In the third quarter, we continued to execute our operational priorities and deliver our financial strategy that prioritizes return of capital to shareholders. We delivered strong operational performance, with gas throughputs increasing from the second quarter despite the impact of localized flooding in August. Third quarter results benefited from an increase in third-party volumes as our customers navigated Northern Border pipeline maintenance towards the end of the quarter. This provides upside to our results and is a good reminder of the strategic nature of our midstream assets in the Bakken, we also executed a $100 million share and unit repurchase in the third quarter and increased our distribution by 2.4% and or approximately 10% on an annualized basis for Class A share. That included our targeted 5% annual increase for Class A share and a distribution level increase following repurchase that we obtained our total distributed cash on a lower share and unit count. During the quarter, throughput volumes averaged 462 million cubic feet per day of gas processing, 130,000 barrels of oil per day for crude terminaling and 137,000 barrels of water per day for water gathering. Throughput increased approximately 3% in gas gathering and processing compared with the second quarter. We expect fourth quarter volumes to be relatively flat with the third quarter on lower expected third-party volumes as announced in our September guidance update into law for winter weather contingency and planned maintenance at the Little Missouri 4 gas plant. Turning to Hess Midstream's capital program. In the third quarter, we safely completed and brought online the first of 2 new compressor stations for the year and expect completion of the second compressor station in the fourth quarter. As announced in September, we have suspended activities on the Capa gas plant and we move the projects from our forward plans. As a result, full year 2025 capital expenditures are now expected to total approximately $270 million. We remain committed to our ongoing strategy, which prioritizes ongoing return of capital to our shareholders, but both excess free cash flow after distribution and leverage capacity relative to our long-term leverage target of 3x adjusted EBITDA. As we noted in our recent guidance update with the removal of the Capa gas plant from our forward plan, we expect significantly lower capital going forward providing additional free cash flow to support our return on capital framework. Looking forward, we will release guidance for 2026 and our 2028 MVCs after our budget process concludes in December. With that, I'll hand the call over to Mike to review our financial performance for the third quarter and guidance for the fourth quarter.
Michael Chadwick: Thanks, Jonathan, and good morning, everyone. Today, I'm going to review our results for the third quarter and our financial guidance, and then we will open the call for questions. For the third quarter of 2025, net income was $176 million compared to $180 million for the second quarter. Adjusted EBITDA for the third quarter of 2025 was $321 million compared to $316 million for the second quarter. The increase in adjusted EBITDA relative to the second quarter was primarily attributable to the following: Total revenues, excluding pass-through revenues, increased by approximately $7 million, driven by higher third-party gas gathering and processing throughput volumes, resulting in segment revenue changes as follows: Gathering revenues increased by approximately $4 million; processing revenues increased by approximately $3 million; total cost and expenses, excluding depreciation and amortization; pass-through costs and net of our proportional share of Little Missouri 4 earnings increased by approximately $2 million, primarily from higher seasonal maintenance and employee costs. That resulted in adjusted EBITDA for the third quarter of 2025 of $321 million. Our gross adjusted EBITDA margin for the third quarter was maintained at approximately 80%, above our 75% target highlighting our continued strong operating leverage. Third quarter capital expenditures were approximately $80 million and net interest, excluding amortization of deferred finance costs, was approximately $54 million, resulting in adjusted free cash flow of approximately $187 million. We had a drawn balance of $356 million on our revolving credit facility at quarter end. In January, we announced we are targeting annual distribution per Class A share growth of at least 5% through 2027, which is supported by our existing MVCs. Last week, we announced our third quarter distribution that included our targeted 5% annual growth per Class A share and an additional increase utilizing the excess adjusted free cash flow available for distributions following the $100 million share repurchase completed in the third quarter. Turning to guidance. For the fourth quarter of we expect net income to be approximately $170 million to $180 million and adjusted EBITDA to be approximately $315 million to $325 million, reflecting scheduled maintenance and lower third-party volumes as discussed in our September guidance release. We are narrowing our full year guidance for net income to $685 million to $695 million and for adjusted EBITDA to $1.245 billion to $1.255 billion, implying EBITDA growth of approximately 10% year-on-year at the midpoint of the guidance range. Consistent with the suspension of the Kappa gas plants and the removal of the project from our forward plans, we now expect capital expenditures of approximately $270 million and adjusted free cash flow of approximately $760 million to $770 million. With distributions per Class A share targeted to grow at least 5% annually from the higher distribution level, we now expect excess adjusted free cash flow of approximately $140 million after fully funding our targeted growing distributions. We expect continued adjusted free cash flow growth through 2027 to support our targeted annual distribution per Class A share growth of at least 5% through 2027. And financial flexibility for incremental return of capital, including potential share repurchases. As Jonathan mentioned, we will release guidance for 2026 and our 2028 MVCs after completing our budget process in December. We remain committed to our ongoing strategy, which prioritizes return of capital to shareholders. This concludes my remarks. We will be happy to answer any questions. I'll now turn the call over to the operator.
Operator: [Operator Instructions]. Our first question comes from the line of Jeremy Tonet from JPMorgan Securities LLC.
Jeremy Tonet: Hi. Good morning. Just wanted to dive in a little bit more on, I guess, Bakken trends here. And just wondering if you could talk a bit on how GORs are trending over time and how you think that projects going forward at this point impacting your business?
Jonathan Stein: Okay, sure. As you know, in historically, has not had increasing GORs because they've had a very active program Chevron now operating 3 rigs, certainly, as an active program that tends to keep lower than in the program where you have less rigs and less activity. But in general, as we've talked about, our expectation is based on the new guidance that we gave out 3 rigs that Chevron is running, we expect to maintain oil to plateau and then gas to increase over time, and that basically is driven by GORs. Because at this point, we're really at almost full gas capture. So really the trend in gas is really going to be GR driven. So with that, that will really continue to drive growth for Hess Midstream over the long term as gas represents 75% of our revenues.
Jeremy Tonet: Got it. That's helpful. And then given that backdrop and not to get too far ahead of ourselves here, I was just wondering if you could provide any thoughts into 2020 beyond how MVCs might be shaping up expectations there, given Chevron moving to 3 rigs as you described there.
Jonathan Stein: Yes. I'd say, look, we're going to finish our development planning here with Chevron, will approve our budget in December, and then we'll give our guidance, including 2026 guidance, but also our 2020 MVC. So we'll just wait until then, it's not too far away.
Jeremy Tonet: Got it. Just the last one for me. We've seen some volatility in the share price here. Just wondering if you could provide any thoughts, I guess, on the cadence or approach to buybacks in the future?
Michael Chadwick: Yes, I can talk to that one. And I think as we can see at the moment, our leverage is at 3x. And we guided in September that we would have flat EBITDA in 2026 and then we'd return to growth in 2027. However, we would have significantly lower CapEx, as Jonathan mentioned, that will be an assist to our free cash flow. And then we'll also be able to have our 5% growth on distributions continue. And so we feel very comfortable that we'll have the financial flexibility through 2027 and to continue with our capital repurchase or capital returns policy and any share -- potential share repurchases.
Operator: Our next question comes from the line of Doug Irwin from Citi.
Douglas Irwin: Maybe to start on the CapEx outlook. You've talked about kind of expecting significantly lower CapEx over the next couple of years, and I know we're about to get guidance in a month or I think in the past, you've put out $125 million is kind of what you view as more of a base level they'll connect to run rate going forward. Is that kind of the right way to think about the starting point for '26? Or are there maybe still some additional discrete growth projects in the backlog that we should be looking at next year as well.
Jonathan Stein: Sure. Let me start, and then I'll hand over to Mike. I mean, I think in general, as we said, historically, $125 million is our expected ongoing capital. That includes well connects, as you mentioned as well as maintaining third parties at about 10% of our volumes. I think certainly, we said we're going to be significantly lower than the original guidance we had of $250 million to $300 million for '26 and '27. I think we do have some small growth projects, so it might be slightly above that 125, but somewhere between that $125 million and significantly below the $250 million to $300 million, again, we'll give guidance coming up here. once we complete the business plan, but that gives you at least some kind of a range to think about. Let me turn it over to Mike. Just anything you want to add there?
Michael Chadwick: Yes. Thanks, Jonathan. And just like I said, just now, I'd just say that the lower capital expenditure that we're expecting that will drive continued growth in our free cash flow will support financial flexibility for incremental return of capital and that includes any potential buybacks.
Jonathan Stein: And just to underline that, that already starts next year, right? So we had expected, as I said, $250 million to $300 million previously in 2026. So next year already, we'll already see the benefit of that lower capital. And so while we had talked about EBITDA being flat, relatively flat next year, and again, we'll give more details in the upcoming guidance but do you expect next year to see growth in free cash flow, and that will provide the flexibility for return on capital as early as next year.
Douglas Irwin: Got it. That's helpful. And then maybe just a higher level one, given some of the changes that the sponsor here. And I realize you can't speak to Chevron, but just wondering if you could comment on how that relationship has evolved now that you've had a few quarters under your belt working with them as your sponsor. And more specifically, just any updated thoughts on how Hess Midstream kind of fits with them their broader strategy here moving forward and how that maybe feeds into your growth outlook and capital allocation from here.
Jonathan Stein: Sure. I'll leave the last part to Chevron. But in terms of how is it going, we're working our way through now integration and it's gone very well. The board -- new board with the new Chevron Board Directors has met obviously several times, and we've approved 2 distribution increases. I think both our base targeted 5% annual increase as well as 2 distribution level increases, 1 this week following repurchase we also approved the share repurchase that we did there in the third quarter. So going really well, really at the Board level, continuing to execute on plan. We're focused on running Hess safely and efficiently focused on capital discipline and continue to execute our capital framework for our shareholders. So also I would say that as we announced the May were underway for the search for a fourth independent Board member. So going very well, working very well with Chevron. It's a natural fit for us and looking forward to continuing.
Operator: One moment for our next question. Our next question comes from the line of Praneeth Satish from Wells Fargo.
Praneeth Satish: Maybe just first, starting on 2026. So you kind of mentioned that it's going to be flat with 2026 EBITDA is going to be flat with 2025. So I guess the first question is, why would it be flat if we're seeing rising gas volumes? Is there something there kind of offsetting that. And then as a follow-up to that, Chevron is reducing the rig count, but I think potentially moving towards longer laterals than what Hess did. So is that kind of baked into that outlook for '26 and '27 kind of moving to longer laterals? Or would you consider that upside?
Jonathan Stein: Sure. I can -- I'll kind of answer both those together. Really early guidance that we gave out recently was really designed to provide a shape for our guidance based on our current expectations after we complete the business plan process in December, we'll provide more detailed guidance for 2026, and that's going to include, of course, a range for volumes as well as EBITDA and other financial metrics as we always do. Of course, that final EBITDA range is going to be a combination of oil and gas volumes rates, including our inflation escalator, OpEx expectations. And of course, the business plan -- development plan that we get from Chevron will incorporate their expectations in terms of increased efficiencies and productivities, including things like longer laterals, as you said. I think critically, I think I just want to reemphasize what I just said earlier there that we expect continued growth in free cash flow as a capital plan reduces with the removal of the gas plant. So still under any scenario, expecting that continued growth in free cash flow. And again, we'll give more details in a range of outcomes when we give out our EBITDA guidance and our annual guidance after the budget is completed and we finished Board approval in December. Mike, anything you want to add on to that?
Michael Chadwick: No, I think you summarized it well, Jonathan. And I think we will obviously provide the updated guidance after the finalization of the plan in December. But I think, no, we've got a good runway with financial flexibility towards 2027 at the very least, and we'll update when we get the 2028 MVCs.
Praneeth Satish: Got you. No, that's helpful. And then I guess based on your discussions, recent discussions here with Chevron, they move to a 3-rig program. Are there any indications that they might further reduce the rig activity and go to 2-rigs? Is that kind of in some of the conversations you're having? And then just conceptually, if that were to happen, should we roughly think about oil maybe declining a bit and gas volumes to be flat with rising GORs? I understand maybe that's not your base case, but just trying to frame downside risk.
Jonathan Stein: Sure. I mean I think let's just start with the base case. As you said, currently, shares running 4 rigs as they said they expect to release the rig in the fourth quarter. As we've said, 3 rigs, again, oil plateau in 2026 and gas will continue to grow at least 2027 and then we'll give again more update when we give out our guidance for 2016 and then through I think it's important to note, Chevron, just last week, you announced and said in the call that their goal is to maintain a plateau at 200,000 barrels of oil equivalent per day for the foreseeable future. That model works really well for the Hess Midstream model where we're focused on long-term execution. And at that level, 200,000 barrels oil per day that provides ongoing free cash flow generation and ongoing financial flexibility. Also would highlight, of course, as we've always said, the 5% dividend growth can be delivered even at MVC levels. So in terms of our return of capital program, that's always kind of at the base and that's well protected. And above and beyond that, we at 200,000 barrels of oil equivalent per day, we expect ongoing free cash flow that can generate incremental financial flexibility on that. So I don't want to speculate beyond that. And -- but again, we'll give more details on our current plan and expectations when we finish our budget and development plan here in December.
Operator: One moment for our next question. Our next question comes from the line of John McKay from Goldman Sachs.
John Mackay: I want to pick up on that last question a little bit. Can you just -- I know you guys go through this every year, but can you just remind us how the 2028 MVCs will be set again effectively what kind of plan does Chevron kind of need to walk you through and it's just interesting because it's going to be our first time doing it with them. Just curious if that's going to differ at all from the Hess process before.
Jonathan Stein: Yes. There's no change to the process. The process is really baked into the commercial agreements that we have now with Chevron. And the process is essentially they deliver to us their development plan through the end of the term of the contract. We develop a system plan, which is really the infrastructure required to develop that plan. And then essentially, the MVC is set at 80% of the third year of that development plan. So that's really no change. It's a very mechanical type process. Obviously, we work together to put together that development plan and system plan together with the goal of optimizing the Bakken, that's a win-win and in everyone's best interest. But in terms of the process of the mechanics of a MVC, that's really the process that's defined in the commercial agreements, and that hasn't changed at all.
John Mackay: That's helpful. And then maybe just one clarification. I think if we go through what you guys have been talking about before, you guys are pretty comfortable, I think, arguing that the 200 a day run rate that Chevron wants to flow. That can be hit on the 3-rig program. So the 4 would have put you, I guess, decently about that. Is that the implication?
Jonathan Stein: Yes. I think what I would say is, and you could see that in our previous guidance before we updated it. That was based on a 4-rig program, and we had growth in both oil and gas and the gas being a function of the oil growth and obviously associated gas you're going to have growth in gas plus then just GOR is increasing as well. So then now under the current plan, you're really seeing oil plateau and gas continue to grow. So yes, the implication there is that previously in 4 rigs because of the efficiencies and productivities that has now, Chevron has been able to achieve, they were able to achieve what they're able to get historically at 4-rigs, they were able to now get a 3-rig and continuing to run at 4-rigs would have really taken you above that goal of plateauing a 200,000 BOE per day.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.